Operator: Ladies and gentlemen, thank you for standing by. Welcome to Choice Hotels International's First Quarter 2025 Earnings Call. At this time, all lines are in a listen-only mode. I'll now turn the conference over to Allie Summers, Investor Relations' Senior Director for Choice Hotels. Good morning, and thank you for joining us today.
Allie Summers: Before we begin, we'd like to remind you that during this call, certain predictive or forward-looking statements will be used to assist you in understanding the company and its results. Actual results may differ materially from those indicated in the forward-looking statements you should consult the company's forms 10-Q, 10-K, and other SEC filings for information about important risk factors affecting the company that you should consider. These forward-looking statements speak as of today's date, and we undertake no obligation to publicly update them to reflect subsequent events or circumstances. You can find a reconciliation of our non-GAAP financial measures referred to in our remarks as part of our first quarter 2025 earnings press release which is posted on our website at choicehotel.com under the investor relations section. This morning, Pat Pacious, president and chief executive officer, will speak to our first quarter operating results and update on our strategic priorities. While Scott Oaksmith, chief financial officer, discuss our financial performance and outlook for the remainder of the year. Following our prepared remarks, we'll be glad to answer your questions. And with that, I will turn the call over to Pat.
Pat Pacious: Thank you, Allie, and good morning, everyone. Appreciate you taking the time to join us. It has been a successful start to the year as the momentum we've created from our strategic investments has carried forward into the first quarter driving our adjusted EBITDA 4% higher and our adjusted earnings per share 5% higher year over year. The investments in our business delivery engine have increased the attractiveness of our brands, resulting in a 3% year-over-year net increase in global rooms in the first quarter including a 4% net increase for our more revenue-intense rooms. We also continue to excel at what we do best, delivering guests to our franchisees. In the first quarter, we outperformed our chain scales in domestic RevPAR performance, captured demand across multiple regions of the country, and achieved RevPAR index share gains versus competitors. These results reflect the improved mix of guests that we are now delivering. Today, approximately 40% of our overall mix is business travelers, which we believe is well balanced between business and leisure travel. Importantly, Choice's business travelers have a relatively resilient profile. These are guests whose job cannot be accomplished without traveling. They comprise key categories such as construction, regional sales, utilities, and medical staffing, and we are now capturing additional longer-term opportunities required by GenAI and the push towards the reshoring of American manufacturing. We anticipate these trends will continue to accelerate. And through our deliberate strategic positioning of our portfolio, Choice is poised to capture this demand. Our business travel segment grew 10% year over year in the first quarter driven by both group and business transient travel, and supported by our expanding upscale and extended stay portfolio of hotels. Notably, we achieved an impressive year-over-year revenue increase of over 50% from group travel business in the first quarter. We delivered these strong results despite increased macro uncertainty, demonstrating that our strategy continues to succeed and reinforcing our confidence in our long-term outlook and ability to create value through our strategic investments. As we look to the future, our global pipeline provides a strong platform for long-term growth. With 98% of the rooms within our more revenue-intense brands, this means that our pipeline should generate significantly higher revenue compared to our existing portfolio, driven by a substantial RevPAR premium, a higher average effective royalty rate, and a larger room count per hotel. The versatile business model we have built has allowed us to deliver stable returns and provide diversified avenues of growth throughout different economic cycles. Historically, in periods of economic uncertainty, our differentiated positioning has enabled us to outperform our peers, gain market share, and emerge stronger. Choice has an increasingly diverse portfolio of well-segmented brands across a wide variety of price points to suit the needs of a broad array of consumers and hotel developers. We have made tremendous progress since we embarked on our distinct strategy to strengthen the company's position in more revenue-intense segments and markets. We have added brands in our strategic growth segments over the past several years and have expanded our domestic mix of more revenue-generating rooms by 11 percentage points to 88% of our system over that period. Notably, the revenue generated by an average hotel in our portfolio has increased 17% over that period. The addition of these new brands expands our opportunities to grow our hotel franchise system in all market conditions, as they offer both new construction and conversion opportunities for developers to grow their portfolio with us depending on their needs. In addition, all of our hotels realize the benefits of our increased scale including our technology investments, more valuable rewards program, and expanded partnerships. Diversification has also made our business more resilient, particularly with our continued growth in the cycle-resilient extended stay segment. We have increased the size of our extended stay portfolio by 19% over the past five years, to approximately 53,000 rooms, with the segment's pipeline now representing half of the total domestic rooms pipeline. An increased extended stay footprint gives us even more confidence in the resilience of our business because in times of uncertainty, we have historically seen demand remain relatively strong for our extended stay hotels. We've also strengthened the entire business by attracting higher income, more resilient customers who have the means to keep spending and traveling through economic cycles. And that means we're delivering customers with a greater lifetime value to our franchisees. In fact, half of our customers now have annual household incomes exceeding $100,000, which means they are more than 24% higher than the median national household income and nearly 20% surpassed $200,000. At the same time, we expanded our rewards program to over 70 million members, an 8% year-over-year increase as of the end of the first quarter. These loyal customers are six times more likely to book direct through Choice channels, and stay an average of 90% more room nights per year than our non-rewards members. Growth in our membership is the direct result of us creating a more compelling program, including introducing new aspirational hotels, and exciting new experiences, such as music, racing, and college sport event redemption options, as well as adding new rewards program features. We are seeing the results with a more engaged customer base, as demonstrated by a 28% year-over-year increase in the number of global reward night redemptions during the first quarter. With gas prices trending lower, and approximately 90% of our domestic portfolio within one mile of a highway, we provide value-seeking travelers the opportunity to travel, and take vacations in a more affordable way closer to home. This is particularly compelling for our customer base, which is comprised primarily of domestic travelers. Additionally, our strong portfolio of mid-scale hotels offers an affordable, high-quality option for travelers who might be seeking to trade down. Likewise, we see attractive tailwinds coming from one of our core customer segments, baby boomers. Over 4 million people are expected to reach retirement age this year in The US, and they have more time and disposable income to travel for leisure and seek brands like ours that provide value for their money. And the pool of these retired travelers continues to expand with more than one in five Americans expected to be 65 years old or over by 2030. Just last week, we hosted our sixty-ninth annual convention. The level of enthusiasm and support we heard from our thousands of franchisees about the ways we are driving growth and the future of our brands was remarkable. The convention is also a significant business development opportunity for us to sign new franchise agreements. During the event, we highlighted some of our recent investments. Specifically, our new Choice Hotels website and mobile apps which have helped drive improved performance through strong year-over-year increases in booking conversion rates across all of our chain scales, including double-digit increases for our upscale properties. Our targeted hotel profitability tools, which continue to drive potential cost savings of up to 20% on the franchisee level. And our recently launched one-stop owners platform which makes it even easier for our franchisees to access actionable intelligence to run their businesses. Our larger scale, has allowed us to invest more in technology to enhance the guest experience, and the value we bring to our franchisees. This is one of the key reasons our existing owners choose to expand their hotel portfolio with Choice Hotels and contributes to our industry-leading voluntary franchisee retention rate. As we look to grow our brand portfolio, we remain very well positioned. In addition to our proven strength in the midscale segment, the company has well-established brands with significant growth potential in the two segments with the highest developer and guest demand: extended stay and upscale limited service. These segments are more accretive to our earnings and continue to be a key driver of our future growth. Continuing to innovate, has contributed to us further expanding our lead in the extended stay segment. As we added more than 5,000 extended stay rooms domestically in the first quarter. For seven consecutive quarters, we have grown our domestic extended stay room system size by double digits year over year. And we expect this higher than industry average growth to continue. With nearly half of the economy and midscale extended stay segment rooms currently under construction being Choice Hotels brands we are well positioned for future growth. We also continue to strengthen our core brand portfolio, which outperformed overall midscale RevPAR chain scale and attracted strong development growth in the first quarter. Importantly, we recently introduced new value-engineered prototypes for the Comfort brand family and the Country Inn and Suites by Radisson brand, that provide more revenue-driving spaces for owners, and achieve a 10 to 15% reduction in construction cost. We are already realizing returns from these investments. In fact, during the first quarter, our Country Inn and Suites by Radisson brands RevPAR outperformed the upper midscale segment by nearly two percentage points. In the upscale segment, we continue to expand our presence, increasing the global room system size by 16% year over year, to over 110,000 rooms now representing 17% of our overall system. With nearly 27,000 more upscale global rooms in the pipeline, an 8% increase over the prior quarter we will be providing our guests even more aspirational locations to visit. We've often spoken about a key differentiator for our business: the velocity with which we move hotels through our pipeline. I'm pleased to say that velocity in the first quarter accelerated versus the prior quarter. Of the domestic franchise agreements we executed conversion hotels, for the twelve months ending March 31, we opened 170 within that time frame. A 26% increase compared to the same period of the prior year. This conversion capability benefits Choice as we capture royalties in the system faster, and it benefits our franchise owners who can quickly join our distribution platform and start generating revenues. We are encouraged by the continued traction for our conversion brands, and we expect this hotel conversion core competency to be a key growth driver this year. I'd now like to turn to another growth area: our international business. Where in the first quarter, we expanded our rooms portfolio by over 4% year over year. And with a rooms pipeline that has increased by 13% compared to the prior quarter, we continue to see a significant opportunity to further gain international market share in the coming years. In closing, by successfully executing our strategy, we have transformed the company to be future-ready and have established a strong foundation for near-term stability, and long-term growth. Our proactive investments, and a versatile asset-light fee-based model have meaningfully enhanced our company's growth profile and allow us to generate multiple avenues of growth throughout various economic cycles. We continue to grow our significant free cash flow annually, and our priority use of this capital is to create long-term value as we remain focused on enhancing our value proposition, and driving organic growth while returning excess cash to shareholders. I will now turn the call over to our CFO, Scott.
Scott Oaksmith: Thanks, Pat, and good morning, everyone. Today, I will discuss our first quarter results, update you on our balance sheet and capital allocation, and comment on our outlook for the remainder of 2025. We are pleased with the first quarter results we delivered, were in line with our expectations. Despite a weaker than anticipated macroeconomic environment. We drove adjusted EBITDA to a first quarter record of $129.6 million representing a 4% year-over-year increase. Highlighted by a combination of global rooms growth, strong RevPAR, robust effective royalty rate growth, and the impressive performance of fees from our partnership programs. Our first quarter adjusted earnings per share also reached a first quarter record of $1.34 per share, a 5% increase year over year. Let me first discuss our key drivers of royalty fee growth, which include unit growth, RevPAR performance, and our royalty rate. In the first quarter, our global rooms grew 3.9% year over year, across our more revenue-intense upscale extended stay, and midscale portfolio. And our total worldwide rooms grew by 2.8%. We continue to see strong developer interest in our brand portfolio, with particular demand for our extended stay and midscale segments. We also recently announced a partnership with the innovative Bridge platform, which helps optimize the loan search process providing access to a wider range of affordable finance solution for hotel owners and developers. We believe this new partnership will expand access to capital sources and accelerate the timeline to secure financing that will support the development of both new construction and the conversion of hotels into our franchise system. Our deliberate decisions and strategic franchisee tools brand portfolio, and partnerships are delivering results across all our brand segments. First, we grew our domestic extended stay room system size by 11% year over year, highlighted by a 14% increase in domestic openings. At the same time, we saw a 14% increase in domestic franchise agreements awarded year over year. The Everhome Suites brand is gaining strong traction, with 11 hotels now open and 62 domestic projects in the pipeline, including 18 under construction as of today. Second, further strengthened our presence in the midscale segment, highlighted by a 10% increase in midscale domestic franchise agreements executed year over year. Our flexible and low-cost conversion Clarion Point brand portfolio continues to grow, with a 10% increase in global rooms in the first quarter compared to the prior year. And third, are continuing to expand our upscale portfolio, with a 16% increase in global rooms year over year. Specifically, our Ascend hotel collection, a leading global soft brand, reported a 13% year-over-year increase, reaching nearly 59,000 rooms worldwide. Turning now to our RevPAR performance. Our first quarter domestic RevPAR outperformed our chain scales by 60 basis points increasing 2.3% year over year. This was driven by a 30 basis point improvement in occupancy levels and a 1.7% year-over-year increase in average daily rates. Our domestic extended stay segment performed exceptionally well, achieving first quarter RevPAR growth of 6.8% over prior year and outperformed the industry by over four percentage points. At the same time, our domestic overall midscale segment achieved first quarter RevPAR growth of 1.7% over the prior year, outperforming its chain scale by 30 basis points. While our domestic economy segment achieved first quarter RevPAR growth of 7.1% over the prior year, outperforming its chain scale by over four percentage points. Turning to our third royalty growth lever, our effective royalty rate also continues to be a significant source of revenue growth. Our domestic system effective royalty rate for the first quarter increased eight basis points year over year. This performance demonstrates the positive impact of our strategy to drive the growth of our revenue-intense brand portfolio, and our enhanced value proposition to franchise owners. We are optimistic about the ongoing upward trajectory of our effective royalty rate for years to come. As the contracts in our domestic pipeline have a significantly higher effective royalty rate than those in our current portfolio of open hotels. We continue to build on the strong momentum of our partnership. Our partnership services and fees encompass revenues from our strategic partners and vendors, including licensing and cobrand credit card fees. These revenues increased 28% year over year in the first quarter, and benefited from both an increase in revenues from our qualified vendors and co-brand credit card fees. Continuing to expand our partnership services and fees is one of our key initiatives and we believe that we can drive strong revenue growth in the years ahead. In the three months ended March 31, 2025, we generated $36 million in adjusted free cash flows, a 30% year-over-year increase. Our business continues to produce strong cash flow, which coupled with our well-positioned balance sheet, allows us to execute our capital allocation priorities, including investing in the growth initiatives while also returning significant capital to shareholders. Year to date through April, we've returned $115 million to shareholders, including $27 million in cash dividends, and $88 million in share repurchases. We had 3.2 million shares remaining in our authorization as of the April. We remain well positioned with a strong cash position, leverage levels at the low end of our targeted range, and total available liquidity of $594 million as of March 31, 2025. Before discussing our outlook, I want to note a few changes we made to our income statement. During the first quarter, we reclassified select items to classify revenue and expenses based on the nature of the underlying activities. And also reclassified corresponding prior year amounts comparability. These reclassifications have no effect on previously reported total revenues expenses, or net income amounts. For additional information on these reclassifications, please see our earnings release and Form 10-Q. Finally, I'd like to discuss our expectations for the remainder of the year. Reflecting the more uncertain macroeconomic backdrop, which is impacting the logic industry, we are updating our full year 2025 outlook. While January and February domestic RevPAR performed in line with our expectations, we started to observe a softening in late March. When a broader macro uncertainty intensified. As a reminder, April saw the significant impact of the Easter shift, and a tougher comparison as we benefited from Eclipse related travel in 2024. When normalizing for these impacts and accounting for the hurricane benefit, April RevPAR performance was down approximately 1% year over year. Given these recent trends, are adjusting our domestic RevPAR expectations to negative one to positive 1%. The high end of our range assumes our RevPAR performance for the remainder of the year, is largely in line with the outlook we provided in February. The midpoint of this range assumes that the current trends we have seen from late March to April continue for the remainder of the year. And the low end implies that conditions softened modestly. For the full year 2025, we now expect our adjusted EBITDA to be in the range of $615 million and $635 million and adjusted diluted earnings per share to be in the range of $6.90 and $7.22. This guidance adjustment reflects a more moderate domestic RevPAR growth expectation offset by effective cost management. We now anticipate our guidance for full year adjusted SG and A to be at the lower end of our growth range of low to mid single digits from the 2024 base of $276 million. Additionally, to align with the revenue reclassifications that I discussed, we are now providing guidance for these reclassified line items, for full year 2025 we expect our partnership services and fees to grow in the mid single digits from the 2024 base of $99 million. While we recognize the broad macro uncertainty we remain confident in the resilience of our portfolio. The versatility of our model, and the strength of our fee-based business. We anticipate growth will be driven by organic growth across more revenue-intense hotels and markets, robust effective royalty rate growth, growth from our partnership revenue streams, strong international business, and incremental revenue-generating opportunities from our expanded scale. This outlook does not account for any additional M and A repurchased of the company's stock after April 30 or other capital markets activity. Today's results are a testament that our strategy is working, that we are benefiting from our expanded scale and versatile business model. We intend to keep investing in those areas of our business that will generate the highest return on our capital. At this time, Pat and I would be happy to answer any of your questions. Operator?
Operator: Ladies and gentlemen, we will now begin the question and answer session. Star followed by the one on your touch tone phone. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press star followed by the two. If you are using a speakerphone, please lift the handset before pressing any keys. First question comes from Shaun Kelley with Bank of America. Please go ahead. Hi, good morning everybody. Thank you for taking my questions.
Shaun Kelley: Pat or Scott, maybe we could just start with your big picture on the consumer and the macro. Pat, you talked a little bit about how you're well positioned for trade down. But what's sort of unique is we've moved through earnings season here is we've seen the softness primarily in leisure and lower-end chain scales relative to the industry, and the high end has been hanging in a little bit better. So kind of when or how do you expect to see a little bit of that trade down? And why do you think that softness we've seen so far has been so acute in kind of the lower-end travel segment right now?
Pat Pacious: Yeah. So let me start, Shaun, with the just over the macro. I mean, if you look at our Q1 results, it really demonstrates that our strategy is continuing to deliver. If you look at our 3% to 4% net rooms growth, record EBITDA, RevPAR outperforming our chain scales, RPI increases, we've got an increased international footprint. Scott talked about our extended or our expanded partnership streams. And most importantly, probably is our rewards program growth. So you know, what we really wanted to make sure everybody understands in our remarks is the change in the consumer profile that we now have in our business. You know, you look at the diversified places where our consumers are coming from now, we've got a higher income consumer today we've had in the past. You know, that that average consumer is reporting that they've got 24% higher national median household income than the, you know, US average. And 20% are over 200,000. So we've got a stronger consumer in our business. We talked about we've got more business travelers, 40% of our business in Q1 is now business travel. And, you know, I think when you look at trade down, what we're not seeing is trade down in our system. We are seeing, though, market share gains. In our in our system. And I wanna particularly point to our economy segment which was up 7% which is 4% higher than the chain scale. And extended stay, which was also up 7%, which is 4% higher than the, than the chain scale did. So we are taking share. That's clearly what we saw in the in the early part of the the quarter here. Or the early part of the year that is. And then I would just say, you know, with what we're seeing through April and then even in the look at last week, you know, we again saw RevPAR index gains. Primarily in occupancy, which is really, really a positive signal for us. So you know, when you look at this sentiment out there that that leisure is softening, we're not actually being impacted in a meaningful way by that. Because I think what's happening is which happens in these times when things get softer, we are taking share, and that has historically happened. So while we're in the early days of this sort of softening cycle, we're pretty optimistic that, you know, the way we've repositioned our brands the way our consumer has gotten that much more resilient from a from an income perspective, and then the diversity between business and leisure travel, I think, is really gonna benefit us as we move throughout the rest of the year.
Shaun Kelley: Great. And then just as a follow-up on the net unit growth side of the equation, could we just talk about sort of ex Westgate, your organic growth expectations as we move through the balance of the year? The implication that net rooms accelerates? And sort of why would we see a pattern there relative to kind of what you saw in the first Yes. Think let me just start. Mean, I think we're really confident in our guidance of about 1% worldwide rooms growth. International continues to be a key driver of that growth. International is now expected to be in that kinda high single digits. And then I think the second piece of it is, you know, our historical competency around conversions. The real the real focus, as we mentioned in our remarks, is the velocity with which we're able to move projects from pipeline into our system. You know, as we mentioned, we opened, you know, a 70 hotels within that last twelve month time frame, which is actually a 26% increase So we're seeing the velocity in improving. And we're in a world right now where know, 73% in Q1 of our of our, openings were from conversion hotels. Yes. And so I also just point out, if you think about it, historically, our first quarter has been more of a higher of a termination rate for us. But as the year goes on, those tend to go down. It's just the timing and the cycle of when our contracts are executed and when we make our portfolio management decisions. But as Pat said, you know, a great news is our brands remain in high demand. And still seeing great activity on the executed contract front. With people wanting to affiliate with our strong brands, especially in times of uncertainty.
Shaun Kelley: Thank you both.
Operator: Your next question comes from Michael Bellisario with Baird. Please go ahead.
Michael Bellisario: Thanks. Good morning, everyone.
Pat Pacious: Morning. Morning.
Michael Bellisario: Got a question for you just on on guidance. Just trying to walk through the math here. Right? If RevPAR is roughly flat, unit growth is 1%, you get a little bit from royalty rate growth. You call that 2% fee growth. Is that spread, call it, Think you're saying ancillary fees are gonna be plus 5%. three percentage points? Is is one is that the right math? And then sort of for how long do you think that ancillary fee growth can outpace sort of the organic growth rates? They'll call it plus or minus 3%. Or more going forward.
Scott Oaksmith: Sure. Thanks, Michael. As we previously discussed, you know, the versatility of our business model really provides us a lot of multiple drivers to grow our business. When you think about our guidance, our domestic royalty rate growth is expected to contribute about 1% to 2% growth to our EBITDA. That's despite a flat RevPAR environment because we are growing our revenue-intense brands, as well as continuing to grow the effective royalty rate at that mid single digit. Our partnership service and fees and our franchisee platform ancillary services, which include things like our co-brand credit card, continues to be accretive to our EBITDA. And is expected to be about a 2% growth, to our EBITDA for 2025. And then, you know, we have our international business and owned hotel hotel portfolio, which we think will add about 1% growth to the EBITDA results. And these will be slightly offset by very small increases in our SG and A. So that's how you get to kind of the midpoint of our guidance. In terms of our ability to grow those ancillary revenues, for us, we really think that's a huge opportunity for us. They're not dependent on RevPAR. They certainly can be accelerated by the growth of our franchise system. But we've got a lot of different avenues to monetize our franchise system, whether that's through selling value-added services to our franchisees to help drive the performance of their hotel, whether it's connecting third-party partners with, you know, the vast amount of guests and our loyalty members that come through our channels. So so we believe that that that that could continue to grow at an accelerated pace for for the long term even if it potentially had a higher rate than the the core franchising, royalty fees.
Michael Bellisario: Okay. That's helpful. And then just as my follow-up just on on the topic of development, had any commentary that you could share maybe from franchisees either recently or from your convention last week? Just maybe what they're seeing, and are they asking for anything differently today? And that's all for me. Thank you. Yeah. It's yeah. No. It's it's great. We we literally, last week, spent, about four days with between five and six thousand of our franchisees and and our vendors as well. So we we gotta really good, take on sort of what the inputs to to development look like as well. But let me just start with the franchisees. I would I would say we were really happy with how optimistic they were, relative to everything that you're reading in the headlines. So that was a key positive. And and what they were telling us is is what we saw in Q1, which is their hotels are doing better than their peers in the market, which I think it reflects the investments we made in the back half of twenty twenty four. Things like our loyalty program, our website, and our revenue optimization service, those three things in particular, they're really responding to. And so that's flowing then into development. Fairly extended stay continues to be a very sought after segment for us. You know, when you look at the brands that we have there, you have a proven prototype, you have a proven operating model, and you have a proven exit. And that that segment continues to be very attractive to to owners I think it's also interesting to note because when times get uncertain, know, people want certain brands. And that's really where Choice has excelled over the years. We have brands with very high brand awareness and a long history of and track record of success. So we have a lot of owners who are know, I I say when it when it starts to rain, you know, people who are independent hotels or or maybe in a different brand, we trend we tend to attract more hotels during times of uncertainty. Because we have those proven brands. And so we had a lot of interest, I think, in our soft brand and upscale. We've got a lot of interest, obviously, in our in our core. Enterprise, which we know primarily conversion brands. So the development team was was pretty optimistic coming out of our convention. And so I think from from that standpoint, owners are yeah. They particularly are ownership based. Many of them have been with us for decades. They know that in a period where we're in right now where supply really has grown much over the last three years. You know, it's been sub 1%. And you see this really strong consumer know, that's a really healthy environment to start developing hotels in. So that by the time you do open your hotel, you're into a a significant uptick in in RevPAR. So I would say we were pretty pleased by the optimism that our owners were showing. Just on the trade show side of the house, it was also very interesting to talk to our vendors. Many of them have gotten ahead of the whole tariff impact. By bringing inventory here sooner. And then secondly, many of them told us they have figured out ways not to pass that cost onto the owners. So anybody who was talking about a price increase, it was usually 10%. That seemed to be the number we were hearing which is very absorbable in the in the in in the way our franchisees are thinking about development moving forward.
Michael Bellisario: Thank you.
Operator: Your next question comes from Patrick Scholes with Truist Securities. Please go ahead.
Patrick Scholes: Great. Thank you. Good morning, everyone.
Pat Pacious: Morning. Morning.
Patrick Scholes: On the economy and midscale significant outperformance, versus the average in the Smith Travel results I hear what you said, certainly taking market share. Was there anything else above and beyond market share such as your low where your locations are concentrated such as anything such as a hurricane, tailwind helping you? In the quarter? You. And then I have a follow-up.
Pat Pacious: Yes. I think, Patrick, in the short term, it's the things that we've been talking about for quite some time, you know, things like road trips. Gas prices are the lowest they've been in three years. So we are seeing those hotels that are in more drive to low locations you know, performing well. You know, what's interesting is we have the ability today to pulse our travelers So we did a survey as this whole sort of economic uncertainty began to develop in late March and April. And 90% of them told us they were gonna travel as much or more than they did last year. And they said that they see prices arising, but they they're gonna find ways to cut back by basically driving instead of flying. Taking vacations in more affordable places, and traveling domestically as opposed to internationally. So that's our customers, not not industry survey. These these are our abilities to actually talk to our to our existing customer base, and that's what they're telling us. And then think the long term trends we've been talking about as well, the reshoring of American manufacturing, those are the things that are driving more extended stay and midscale stayers. And so we are beginning to see some of that as well. And then we've also talked about, you know, the retirees, you know, the, you know, 4 million additional people reaching retirement age this year. Our brands are well positioned for those who are traveling and looking for an affordable option. Where they're no longer working and they're they're living on more of a a limited income. So those are all areas that I think as we've looked into what's driving our Q1 performance of why we're taking share, those are some of the key drivers.
Scott Oaksmith: Yeah. The only thing I'll add to that, Patrick, is just, you know, when we look at our business travel, Pat, at mentioned earlier in our remarks that it's up to 40% of our mix. We saw really strong growth, in our business travel, which was up 10%. And I think what's what's great about our business travel, it's it's really, business travelers that where their job can't be accomplished without without traveling. So, you know, we've been making in our capabilities to drive, you know, more business travel with an expanded sales force, going after new segments and verticals, you know, and and really improving the the effectiveness of our sales tools. So really saw that come to fruition here. I mean, you're starting last in the fourth quarter and carrying into the first quarter. So I would point to that as another reason for our outperformance.
Patrick Scholes: Okay. Yeah. Thank you. Now my final question, do have to ask, why certainly excelled in the midscale economy. When I look at the upscale and above RevPAR, that did seem to be significantly lower than what would be implied in the Smith Travel. Can you give a little bit of color on that? Is there something idiosyncratic on that? How we should think about upscale and above. Thank you.
Scott Oaksmith: Yeah. Really, for that, we report our RevPAR results on a full system basis, so it's not a same store sales basis. So really, the decline was due to a few properties leaving as well as some newer properties ramping. So when we look at it on a same store sales basis, actually, our was was slightly positive for the for the quarter. So a little bit of noise and just some of the shift of of the portfolio that will even out here as the year goes on. And then just quickly follow-up. On a same store basis for your outperforming, is that apples to apples as well with that outperformance? Apples to apples in what what regard? Apples to apple. Do Just how the the upscale underperformance wasn't really an underperformance. It's it's the outperformance in your economy midscale? Is that an apples to apples outperformance? Yes. I under understand. Okay. Yeah. So, yes, it is. I just With upscale, it's just a little bit of smaller portfolio. So Okay. Know, a few hotels can move the numbers a little bit more than our broader portfolio. Great. Thank you for the clarification. I'm all set.
Operator: Next question comes from Robin Farley with UBS. Please go ahead.
Robin Farley: Great. Thank you. Just looking at the rooms in your pipeline at the end of the quarter, it seems like it ticked down each quarter for the last four quarters. Is the is the unit growth that you're looking for is that mostly that the there's an acceleration in conversions or something that so it may not be showing up in the pipeline, but or just how should we think about that sort of tick down? You.
Pat Pacious: Yeah, Robin. I mean, if you look at our our global pipeline, you know, it's about 83% is domestic, about 70% is international. And then when you when you when you tease out new construct versus conversion, it's, like, like, two thirds new construct, one third conversion. But as we talked about, it's the velocity of the hotels on the conversion side that moved through very quickly. You know, on on average, it's it's like three months. So in in many cases, have hotels that just don't sit in our pipeline. You know, as we look across the industry, a lot of these pipelines getting bigger and bigger, but they're not resulting in in actually open hotels. And so what we saw in the first quarter actually was a significant amount of openings kind of getting through that pipeline as well. And as I think as as Scott may have mentioned earlier, you know, Q1 is a is a period where we generally do some pipeline cleanup as well. It doesn't make sense for us to have you know, a proposed hotel coming into a market when we have another owner who's ready to to develop in that market. So that's really, I think, a reflection of what you're seeing there.
Robin Farley: And when you talk about the two thirds new construction one third conversions, Is that did I did I hear that right? The terms of your pipeline?
Scott Oaksmith: Yeah. That's what's in the pipeline. That's really a reflection of the fact that, you know, a new construction hotel will will be in your pipeline longer just given the longer time from contract execution to to actually, construction and opening the hotel. So as Pat mentioned, that velocity of our conversions pipeline, even if that's, you know, 73% of our openings during the first quarter of conversions. You know, we open a hotel, within a three to six month period. If it's conversion, so they don't sit in our pipeline very long. And and we even have, in where something could be sold and opened in the same quarter. So historically, while, our openings have been more two thirds conversions, one third new construction, the pipeline actually is the inverse of that just given the time to time to open.
Robin Farley: And do you have that mix sort of compared to twelve months ago that two thirds new construction, one third conversion? That's my last one. Thanks.
Pat Pacious: It's probably the same, Robin. I mean, that that that's been a a pretty consistent mix for us for for for quite some time.
Robin Farley: K. Thank you.
Operator: Next question comes from Meredith Jensen with HSBC. Please go ahead.
Meredith Jensen: Yes. Thanks. Good morning. I was wondering, given you were speaking about the strong business demand and also, how that might feed into length of stay because, you know, business may stay shorter. Then you offset that with extended stay having longer. I was wondering if you might speak to kind of the trends and length of stay. And how some of those segments are booking in terms of also the booking window that would be great.
Pat Pacious: Yeah. Just briefly on the booking window, know, I think in what we've seen is the window has contracted somewhat, and that's that's a reflection of this sort of uncertain environment. Because that that contraction was was within the last six weeks or so. That being said, the business is showing up. As I as I mentioned last week, our year over year pace actually increased. So the the people are not booking as far out in advance, but they are they are ending up at the end of the day traveling. I think when you look at our business mix within the segments, and then maybe Scott speak the length to say, you know, extended stay, the business travel and and and group business was up 7%. In the quarter. Upper midscale was up 4%. Upscale was up 22%. So we're seeing a lot more group and and and business travel in in our segment. When you link look at extended stay, the length of ex of stay is actually much longer. It's not actually a shorter shorter business trip. And and I would I would say that likely that the business travelers that we're getting today given the types of industry verticals we're pulling from, construction, logistics, medical staffing, these are more longer length of stay than than a than our traditional leisure travelers.
Scott Oaksmith: Yeah. I think I'll add, you know, obviously, the length of stay is really driven by our focus on extended stay. You know, we are the market leaders now in extended stay. We've been growing that segment. You know, our our rooms grow by over 10%. For the last couple of years, and we really believe we can continue to grow that for for the next, you know, several years, if not longer. And and, really, so you're seeing the the mix of our length of stay increase given our focus on extended stay as well as what I mentioned earlier is our focus on that business traveler. So you know, really the two nicely dovetail together. So we actually saw about, you know, quarter over Q1 versus Q1 of last year, about a five percentage point increase in our average length of stay of of nights that are over fourteen fourteen plus nights. So really, really good acceleration kind of the the type of business we're going after and and the in increase in our portfolio size and extended stay.
Meredith Jensen: No. That's super helpful because I tend to think of the business demand staying in the upper upscale, but I understandably, they're staying in the extended stay for for your for your area, that would make it longer. Very quickly, if you wouldn't mind touching upon international, and how sort of you look at expansion opportunities there, conversion, consolidation, m and a? Any any kind of color there would be great. Thank you very much.
Pat Pacious: Yeah. I think our international, opportunity is is is really pretty exciting. You know, we've been talking about that's a key growth area for us. And if you're you look at our kinda recent performance results, it's an area that that that we're we're improving both in development and openings perspective as well. So think we feel pretty good about the opportunities we have Radisson acquisition really opened up and kind of created a new focus for us. On the international segment. We're making significant progress in what we call CALA, The Caribbean and Latin America. Particularly the Radisson brands themselves. They have a a much very high brand awareness down there. I think now being attached to our business delivery engine, we're getting a lot of really significant interest there. Yeah. I was just up in Canada on Monday, Tuesday at our Canadian Hotel Investment Conference. Up there. And, you know, we've we've been in that market for seventy years. So we have very well established brands there. We have about 362 hotels. But that is another area that is really ripe for extended stay growth. And, you know, with our presence there, long history of of operating performance, we do see opportunity there. And Canada's got very similar sort of supply and demand characteristics that's here in The US. So there there's a lot of real interesting opportunity for us from a growth perspective on the international front.
Meredith Jensen: Thanks so much.
Operator: Your next question comes from Dan Wasiolek with Morningstar. Please go ahead.
Dan Wasiolek: Good morning, guys. Thanks for taking the question. Maybe just one. With the April normalized RevPAR being down one wondering if you could maybe talk about how leisure group business performed in that month relative to kind of March and then how those three groups are kind of being viewed in your updated RevPAR guidance? Thank you.
Pat Pacious: Yeah, Dan. I think the challenge with April was the Easter shift and the eclipse. And and we had a number of hotels that were right in the a line of the eclipse, and they were, you know, con lodges in the middle of the country were were going for 700 you know, dollars a night in in in rooms. So the April's been really hard to sort of tease out you see any specific patterns with regard to to leisure travel? And then, obviously, the Easter shift, which which we deal with you know, on on a on a continuous basis every year made it made a little bit more challenging. So I'm not sure there's anything in specific we can read through on on leisure in the month of April that that is indicative. So we've really kinda looked more at the long term You know, we've looked at the the reasons for optimism for the summer. Really, the the key reasons that that that have always driven our business, which is employment remains high, gas prices are low, and consumers appear to be saying they're gonna drive too as opposed to fly. And so that generally does really well for our hotels that are right next to the highway, 1,500 hotels near the national parks. Like, these are these are the things that as consumers bow back on their spend, but not on their travel, they tend to go to these types of locations. So that that's really when we look at when we surveyed our customers we look at talking to our franchisees last week who are in some of those markets, that's what gives us sort of the optimism around being able to perform at the top or or at the upper end of our range. Okay. Fair enough. And then just clarification question on the business being 40% of your business. Is that revenue? Is that room nights? Does that include group or group would group be separate? It's revenue, and group is a mix of both business and leaders. So group overall is about 10%. Of our total delivery in the quarter. So, yeah, business is a it's a it's a revenue number.
Dan Wasiolek: Okay. Perfect. Thank you.
Operator: There are no further questions. Please continue.
Pat Pacious: Well, thank you, operator. Thanks, everyone, again for your time this morning. Will talk to you again in August when we announce our second quarter of 2025 results. Have a great rest of your day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.